Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome you to DuPont de Nemours, Inc.'s Fourth Quarter and Full Year 2025 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question at that time, simply press star followed by the number one on your telephone keypad. And if you'd like to withdraw that question, again, star one. Thank you. I would now like to turn the conference over to Ann Giancristoforo, Vice President, Investor Relations. Please go ahead.
Ann Giancristoforo: Good morning, and thank you for joining us for DuPont de Nemours, Inc.'s fourth quarter and full year 2025 financial results conference call. Joining me today are Lori Koch, Chief Executive Officer, and Antonella Franzen, Chief Financial Officer. We have prepared slides to supplement our remarks which are posted on DuPont de Nemours, Inc.'s website under the Investor Relations tab and through the webcast link. Please read the forward-looking disclaimer contained in the slides. During this call, we will make forward-looking statements regarding our expectations or predictions about the future. Because these statements are based on current assumptions and factors that involve risks and uncertainties, our actual performance and results may differ materially from our forward-looking statements. Our Form 10-Ks, as updated by our current and periodic reports, includes detailed discussion of principal risks and uncertainties which may cause such differences. Unless otherwise specified, all historical financial measures presented today are on a continuing operations basis and exclude significant items. We will also refer to other non-GAAP measures. A reconciliation to the most directly comparable GAAP financial measure is included in our press release and presentation materials and has been posted to DuPont de Nemours, Inc.'s Investor Relations website. As a quick reminder, on the basis of presentation, for our fourth quarter and full year financial results, our total company net sales, operating EBITDA, and adjusted EPS reflect the separation of Cunity and the previously announced divestiture of the Aramis business reported as discontinued operations. I'll now turn the call over to Lori, who will begin on Slide three.
Lori Koch: Good morning, and thanks, everyone, for joining our fourth quarter call. Earlier today, we reported our fourth quarter and full year financial results which were ahead of our previously communicated guidance. We finished the year strong, delivering full year organic sales growth of 2%, operating EBITDA growth of 6%, and 100 basis points of margin expansion. Operational discipline and a focus on productivity were key to our earnings growth and margin improvement. These results led to an adjusted EPS of $1.68 per share, up 16% year over year. Free cash flow generation was strong in the year. While delivering on our financial metrics, we also executed significant operational and portfolio transformation during the year. We successfully completed the separation of Community Electronics, standing up a premier pure play technology solutions partner. The semiconductor value chain. We also completed the build-out of my executive leadership team, adding external talent from well-run companies as well as promoting within the organization. We set the strategic direction of New DuPont starting with enhancing our core values to drive a culture focused on growth and continuous improvement. This includes building a robust business system and continuing the progress on both our commercial and operational excellence frameworks. Finally, we set clear and robust medium-term financial targets aligned with our performance-based culture. I want to thank our employees for remaining focused on delivering these results and driving the transformation during the year. The momentum and progress we made in 2025 is carrying forward to our 2026 strategic priorities, which I will cover on Slide four. Consistent with what we outlined at Investor Day, our strategic priorities for 2026 are clear: drive above-market organic growth, continue to build out a robust business system, deploy a balanced capital allocation model, all while consistently delivering financial results. We have successfully repositioned ourselves and have a streamlined portfolio of leading businesses. The majority of which are aligned to secular end markets which will enable strong organic growth. We saw a 2% organic growth for full year 2025 and expect that to accelerate to about 3% in 2026. We are well positioned in secular end markets, and our top-line growth will continue to be bolstered by our innovation engine, which launched more than 125 new products in 2025. Our new products generated greater than $2 billion in sales this past year, and our vitality index remained strong at about 30%. We are advancing the build-out of our business system and made significant progress last year. We introduced a core set of enhanced KPIs, focused on driving improvement for our shareholders, customers, and employees. These KPIs are embedded in our refreshed set of management standards which has added more visibility, rigor, and structure to our business processes. In addition, we will continue to expand the use of Kaizen events across the businesses and functions to identify areas to drive productivity, improve end-to-end processes, and accelerate commercial development. On commercial excellence, we continue to advance the framework across commercial enablement, sales effectiveness, and strategic marketing. We have completed a maturity assessment resulting in the identification of key initiatives in 2026 centered primarily on demand generation and pipeline discipline. Operational excellence enhancements will continue in 2026. Last year, we rolled out an updated set of KPIs aligned with our focus on safety, quality, delivery, and cost and refreshed our excellence toolkit with a stronger focus on lean methodology. In addition, we invested in people and process capabilities across our supply chain and quality function in order to enhance the customer experience. These improvements and investments will drive overall productivity in 2026. Across these disciplines, we are also actively deploying digital capabilities and AI to accelerate our progress. Within innovation, we are making investments in our labs to enable streamlined workflows and accelerate our product development cycle times. Within operations, we are utilizing tools in the reliability and maintenance space to improve uptime and reduce cost. And on the commercial side, we are focusing on investments in workflow and process automation to improve the customer experience. On capital allocation, we have a proven model that enables both consistent investments in high-return organic opportunities as well as bolting on to existing businesses with M&A to enable even greater returns. A strong balance sheet is a priority for us. We will continue to return cash to shareholders through a quarterly dividend in line with our targeted payout ratio as well as utilizing share repurchases. We previously announced a $2 billion share repurchase authorization and we executed a $500 million ASR in 2025. With these priorities, let's move to our 2026 outlook on Slide five. Our financial guidance for 2026 is in line with the medium-term targets that we outlined at our September Investor Day. On a reported basis, we expect organic sales to grow about 3% year over year, operating margins to expand 60 to 80 basis points, and adjusted EPS of $2.25 to $2.30 per share. On a pro forma basis, our EPS will grow 10% to 12% year over year. Free cash flow generation will be solid with an expected conversion of greater than 90%. Underpinning our organic growth is a mixed macro environment. Market indicators for healthcare and water technology continue to expect mid-single-digit growth in both spaces on increasing medical procedures to support an aging and growing population and strong global wire demand. Overall automotive demand is about flat in 2026 with weakness in the US and Europe. However, we continue to expect EV builds to significantly outpace overall builds. In construction, after years of decline, market stabilization is expected with flattish demand year over year. We are off to a good start to the year. Our January sales were in line with expectations, and overall, we are seeing improving order trends in our industrial technologies business, which we view as an indication that these markets, which were down last year, are beginning to stabilize and recover. Overall, our teams are executing with a focus on driving growth and operational discipline, and our strategic priorities position us well for long-term value creation. With that, I'll now turn the call over to Antonella to cover the financials and outlook in more detail.
Antonella Franzen: Thanks, Lori, and good morning, everyone. The fourth quarter marked a strong operational finish to the year. We exceeded our financial guidance on better-than-expected top-line mix and productivity, resulting in strong EBITDA and margin improvement in the quarter. Beginning with fourth quarter financial highlights on Slide six. Net sales of $1.7 billion were about flat versus the year-ago period, as a 1% organic sales decline was offset by a 1% benefit from currency. Organic sales consisted of a 1% decrease in volume which included a $30 million or 2% headwind from order timing shifts into the third quarter from the fourth quarter due to system cutover activities in advance of the electronic separation. Adjusting for the timing shift, organic sales would have grown 1% in the quarter. Looking at the second half, organic sales increased 2% versus the year-ago period. From a segment view, during the quarter, organic sales grew 3% in Healthcare and Water Technologies, offset by a 4% decline in diversified industrials. From a second-half perspective, healthcare and water technologies grew 5% on an organic basis partially offset by a 1% decline in diversified industrials. From a regional perspective, in the quarter, we saw organic growth in Europe, up 2% year over year, with Asia Pacific down 2%. North America was about flat year over year. Fourth quarter operating EBITDA of $409 million increased 4% versus the year-ago period on favorable mix and cost productivity. Operating EBITDA margin during the quarter of 24.2% increased 80 basis points year over year. Turning to Slide seven. Adjusted EPS for the quarter of $0.46 was up 18% versus the year-ago period. The increase was driven by higher segment earnings of $0.02, lower interest expense of $0.04, and a $0.02 benefit from exchange gains and losses. This was partially offset by a $0.01 headwind from a higher tax rate. Turning to Slide eight. Healthcare and Water Technologies fourth quarter net sales of $821 million were up 4% versus the year-ago period. On a 3% organic growth, and a 1% benefit from currency. Organic growth included a headwind of approximately $15 million or 2% in order timing shifts into the third quarter. Adjusting for this headwind, organic sales growth was 5% in the quarter. For the fourth quarter, Healthcare sales were up mid-single digits on an organic basis versus the year-ago period. Organic growth was broad-based led by continued strength in medical packaging and medical devices. Water sales were up low single digits on an organic basis primarily due to strength in industrial water markets. A majority of the headwinds from the order timing shift was within water. Operating EBITDA for the segment during the quarter of $255 million was up 4% versus the year-ago period on organic growth and productivity gains, partially offset by growth investments. Operating EBITDA margin during the quarter was 31.1%, flat with the prior year. Turning to Diversified Industrials on Slide nine. Fourth quarter net sales of $872 million decreased 3% versus the year-ago period on a 4% organic decline partially offset by a 1% benefit from currency. The organic decline included a headwind of approximately $15 million in order timing shifts into the third quarter. Adjusting for this headwind, organic sales declined 2% in the quarter. At the line of business level, organic sales for Building Technologies were down high single digits on continued weakness in construction markets. Industrial Technologies organic sales were down low single digits as strength in aerospace was more than offset by weakness in printing and packaging markets. A majority of the headwind from the order timing shift was within Industrial Technologies. Operating EBITDA for Diversified Industrials of $197 million was up 2% versus the year-ago period, on favorable mix and cost productivity. Operating EBITDA margin during the quarter was 22.6%, up 110 basis points versus the year-ago period. Turning to Slide 10, which outlines our first quarter and full year 2026 financial guidance. For the first quarter, we estimate net sales of about $1.67 billion, operating EBITDA of about $395 million, and adjusted EPS of $0.48 per share. Our first quarter net sales guidance assumes about 2% organic growth and about a 2% benefit from currency. Our operating EBITDA assumes a 10% increase year over year and margin expansion driven by business improvement and lower corporate costs. For the full year 2026, as Lori noted, our guidance is in line with our medium-term targets. We expect net sales of about $7.1 billion, operating EBITDA of about $1.74 billion, and adjusted EPS of $2.25 to $2.30 per share. Our full year net sales guidance assumes about 3% organic growth and a currency benefit of about 1%. Our operating EBITDA assumes a 6% to 8% increase year over year with 60 to 80 basis points of margin expansion. Our adjusted EPS guidance at the midpoint assumes about a 35% increase on a reported basis and an 11% increase on a pro forma basis. For the healthcare and water segment, we expect full year 2026 organic sales growth in the mid-single digits percent range. This assumed growth is expected to be driven by broad-based strength within healthcare, primarily due to demand in medical packaging applications and medical devices. In water, we expect continued growth primarily driven by demand for reverse osmosis and ion exchange within industrial and municipal water markets. For the diversified industrial segment, we expect full year 2026 organic sales growth in the low single digits percent range. Within building technologies, after a year of market declines, we are expecting 2026 to be about flat, primarily driven by stabilization within US construction markets. Industrial Technologies, we expect low single-digit growth year over year driven by strength in aerospace and demand recovery within markets served by our industrial-based product lines. With that, we are pleased to take your questions, and let me turn it back to the operator to open the Q&A.
Operator: Thank you. We will now begin the question and answer session. We also ask that you limit yourself to one question and one follow-up. Any additional questions, please re-queue. And your first question comes from the line of Jeffrey Sprague with Vertical Research Partners. Please go ahead.
Jeffrey Sprague: Hey. Thank you. Good morning, everyone. Nice to see a solid, clean quarter. And, also, Lori, your opening remarks there all focus on internal KPIs and growth, and you were working on that along the way, but a shift from portfolio moves is welcome on my behalf anyhow.
Lori Koch: Thank you. Thank you.
Jeffrey Sprague: Yeah. Good luck with all that. I wanted to shift, though, a little bit to the external, if I could. Can you just put a little bit finer point on the industrial side of the equation, sort of the soft U.S. industrial production in your guide that you mentioned but then seems a little bit countered by your comments about industrial orders picking up? So maybe just a little bit more color on what you're seeing really in the core industrial parts of the portfolio. How orders are trending? And what do you think is going on with channel inventories?
Lori Koch: Yeah. Thanks, Jeff. So on the industrial side, so, like, talking ex the shelter business, which we had mentioned, we think will be about flat this year, so moderating from down mid-single digits in 2025 and the flat on the shelter side is general kind of low single-digit growth expectations for the full year. On non-res and repair and remodel and then down low to mid-single digit from the on the resi side. But on the industrial side, it's primarily coming from the advanced mobility businesses which comprise automotive and aerospace, and on the consumer packaged goods side of some of our packaging goods in Spiral. So we've seen nice order pickup as we exited the year and went into Q1. A lot of it is being driven by aerospace. We're seeing nice low double-digit improvement in order in aerospace. It's about 3% or 4% of our revenue. So it's in that range. But all the businesses kind of in that industrial technology space are doing nicely and seeing kind of the short cycle recovery that other means have been bringing to.
Jeffrey Sprague: Great. And then just on price cost, obviously, a lot of attention on metals cost, is maybe less of an issue for you than some of the metal vendors I cover. But what's going on on the inflation side of the equation? What sort of kind of price is embedded in the outlook? 2026?
Lori Koch: So, Jeff, when it comes to our organic growth of 3%, it is predominantly related to volume for 2026. I would tell you, we're not really expecting any significant headwinds from, you know, any of the roles, logistics, and kind of utilities going into next year. We expect that to be relatively flat. And given our productivity initiatives, expect to see a nice improvement in our gross margins on a year-over-year basis.
Jeffrey Sprague: Got it. Great. Thank you.
Lori Koch: Yep. Yep.
Operator: Your next question comes from the line of Scott Davis with Melius Research. Please go ahead.
Scott Davis: Hey, good morning. Lori and Antonella. Good morning, Scott. I echo what Jeff said. Nice to see a more normalized quarter here. Wanted to follow-up a little bit on Jeff's question, but on the shelter side, we are going from kind of a negative high single digits to something that's more flattish. How do we cadence that into 2026? Is it more back-end loaded, or do you see real green shoots here early in the year that you've already seen to be able to call a recovery?
Lori Koch: Yes. So let me start on that one. So when you look at our overall shelter business, we mentioned that it was down around mid-single digits in 2025. So when we start off 2026, I would tell you that we expect it to be slightly down as we start the year. So part of it's going to be the comps. On a year-over-year basis. So just keep in mind that in 2025, we were down around 6% in that business. So on a year-over-year basis, when you look at the two-year stack, it's not really changing significantly. From kind of the second half of the year of where we're exiting, kind of going into the beginning of the year. So we do expect slight improvement as we go through the course of the year. If we start out slightly negative, getting a little bit better, that gets you to the overall flat for the year.
Scott Davis: Okay. That's helpful. And I don't recall hearing vitality index on these calls in the past. Maybe you and I just haven't heard it. But 30% seems like a pretty robust number, but I don't really have any context to what that's been historically. And, perhaps just some color on how helpful is this as it relates to mix or price or volume? Are these iterative slight improvements, or are there real meaningful product changes? Just some color would be helpful, I think. Thanks.
Lori Koch: Sure. Yeah. We had first talked about it at Investor Day where we mentioned that the 2024 number was about 30%. We expect that same performance in 2025. So it is helpful on both the top-line side as well as the margin side. So there's work that goes into not only releasing new products where we can get enhanced pricing and get some incremental share. There's also work that goes on on the kind of the value engineering side to take cost out and deliver margin improvement. So if we look at the margin profile of those products that comprise any product sales, it is higher than the overall margin of the company. And so we're seeing nice lift from both sides. Our efforts internally, you know, we did 125 new products last year. We'll expect to continue to do nicely this year. And we'll focus on making sure that shift is happening from renew versus grow. So you had mentioned the impact to the top line. There is a portion of that 30% vitality index that is replacement. And making sure that we stay competitive and differentiated. And we want to continue to do that, but also shift the mix towards growth. So that we can get incremental top-line growth out of the innovation engine.
Scott Davis: Okay. Lori. Best of luck. Appreciate it. Pass it on. Thank you.
Operator: Your next question comes from the line of Steve Tusa with JPMorgan. Please go ahead.
Shagusa Cotopo: Hi, this is Shagusa Cotopo on for Steve. Thanks for taking my question. So my first question is on, so you're making great progress on the margin front, and I just wanted to go back to the margin bridge that you provided at Analyst Day. And you provided, like, zero to 50 bps of productivity here. Was wondering given the execution, is there potential upside here or you are tracking ahead of plan?
Lori Koch: Yes. Well, I'll say let's take it one year at a time as we progress through the year three-year plan. But I would say, you know, we're clearly starting out of the gates in a nice good spot. And when you look at our guidance for 2026, we have at least 20 basis points of margin expansion coming from productivity. Clearly, the teams are doing a great job. Lori outlined a lot of activities. That we have ongoing in the organization. I think you saw some of the benefit of that in our Q4 results. You'll see that continue as we go into 2026 and we'll continue to drive that as we move through the three-year period.
Shagusa Cotopo: Okay. That's great. Thanks. And then on the Aramis divestiture, I think, is expected to close at the end of the first quarter, which is gonna bring in about $1.2 billion of pretax proceeds, if I remember correctly. But any initial thoughts on what you're thinking about capital deployment? Thanks.
Lori Koch: Yeah. So we're still in that range of closing around the end of the first quarter, and it will be about $1 billion on a net tax basis. Keep in mind, we've already deployed about half of that with the $500 million ASR that we announced last quarter and have completed already which is enabling about 2.5% EPS growth for us this year. So we'll continue to be shareholder-friendly with the deployment of the proceeds. We have mentioned that we would like to continue to add to the top line through M&A. So we've got some opportunities that we're looking at primarily in the healthcare side right now within similar aspects to what we did with Spectrum and Donatelle. We'll continue to be mindful, obviously, about ensuring a really strong return. So we'll look to get up to, you know, higher than our cost of capital by year five with respect to the IRR on the deal. So we'll continue to be shareholder-friendly. We've proven that we've done it in the past significantly, and we'll look to deploy them efficiently.
Shagusa Cotopo: Okay. Great. Thank you.
Operator: Your next question comes from the line of John McNulty with BMO. Please go ahead.
John McNulty: Good morning. Thanks for taking my question. Maybe wanted to dig into the diversified margin lift. It was a pretty chunky lift. I guess, how much of that is around the mix with the benefit of aerospace kind of hanging in as a really strong driver versus much of it is tied to some of that 80/20 kind of work that I know Beth is working on really kind of accelerating as we push over the next twelve to eighteen months. Can you help us to think about that?
Lori Koch: Yes. So a couple of things that I would mention there. I would say, you know, you're not really yet seeing the benefits of 80/20. It's a little too early. You know? As you know, Beth recently arrived. So, yes, she's working on that, but the benefits of that, I would say, are to come. As we move forward. When you kind of look at the activity in the fourth quarter, I would point more towards what drove the margin expansion to be a bit of mix related to, you know, the businesses that we're growing when you look at the line of business level as well as a strong push relative to productivity. Is what really drove the nice margin expansion in the fourth quarter on a year-over-year basis.
John McNulty: Got it. Okay. No, thanks for the color. And then in terms of innovation, you mentioned the vitality index. You kind of spoke to, I think it was $2 billion of growth that you saw from some of the new products. I guess, can you help us to think about some of the more exciting innovations, the ones that are starting to move the needle maybe more than others that we should be looking for as we kind of look through '26 and '27?
Lori Koch: Yeah. So the $2 billion is the total new product sales that are within the, you know, roundly $7 billion of sales that we reported. So it's a portion of replacement and a portion of growth. So we'll continue to try to shift that mix towards more growth replacement in the future. But as far as exciting innovations that are on to come, I think one for this year, we highlighted on the last call, and I'll highlight again just because it was such a sizable improvement, were the enhanced Tyvek garments. So we announced at a trade show late last year that we came out with a new model that has the best breathability and the best protection in the industry, and we've seen really, really nice customer reaction to that. We announced it first in Europe, and we'll continue to roll it out across the globe. On the water side, we continue to advance the latest technology within the reverse osmosis side. So this year, we're expanding capacity at our Edina site to be able to produce the gen four, which would be the highest-end technology that would enable a significant total cost of ownership to our customers. So we're continuing to advance that, and we'll look to commercialize that in 2027. So those are just two of the highlights. But, obviously, with 125 new products last year, it's happening kind of all across the portfolio.
John McNulty: Got it. Thanks very much for the color.
Operator: Your next question comes from the line of John Roberts with Mizuho. Please go ahead.
John Roberts: Good. Thank you, and congrats on a good start here. Could you provide some margin on the four subsegments, water, health, building, and industrial? I'm not sure. How much detail you want to provide there.
Lori Koch: Yes. We typically give color on the revenue side of our segments. But when you do look from a margin perspective, I mean, what I would add is you will see margin improvement, I would say, in both of our reportable segments. As we move forward, and we'll also obviously get some margin expansion from lower corporate costs as well. And that's certainly what's gonna drive the 60 to 80 basis points of margin expansion in 2026.
John Roberts: And then your Asia Pacific sales were down 2% organic. Was that water supply chain contraction again, or is something else going on there?
Lori Koch: No. It wasn't water. It was primarily within the diversified side. We had a supply chain change in our shelter business that was the single largest item. So it was really just a change in the distributor joint venture relationship. So nothing permanently. We'll push it into 2026. So nothing material. We expect to return to growth across all the regions, both in the quarter and the full year for 2026.
John Roberts: Great. Thank you.
Operator: Your next question comes from the line of Joshua Spector with UBS. Please go ahead.
Joshua Spector: Hi. Good morning. I had two questions on water. Maybe one slightly related to the comment earlier on Asia is that when your forecast or talking about mid-single-digit growth in water for '26 China is lower than that. You go into some of the details on why and what you're seeing there? I mean, you and some other peers are seeing slower growth in China in general. And then secondly, does that help or hurt your mix in the overall segment?
Lori Koch: Yeah. So we are seeing a slower start in China with respect to overall growth within the water, and it's primarily stemming from just the reduced industrial production in the region. So, we'll start in the low single digits in China, water, and then we'll ramp into the back half to get overall to that mid-single-digit. I think we're, as you had mentioned, our peers are seeing a similar dynamic. So it's really just a reflection of the industrial production malaise in China. About half of our water is used in the industrial wastewater treatment or industrial utility water space. And so when industrial production is down, obviously, it would have an impact on that. As far as the mix, no material change in mix depending on where the regional growth is. Or margin.
Joshua Spector: Okay. Thank you. I'll leave it there.
Operator: Your next question comes from the line of Aleksey Yefremov with KeyBanc. Please go ahead.
Paul: Hi. This is Paul on for Aleksey. Can you discuss what you're currently seeing in auto trends right now and maybe the cadence for your outlook for 2026? Thanks so much.
Lori Koch: Yeah. Overall, the expectation for auto builds from IHS is to be about flat. We would expect to slightly outperform that just based on our EV growth. And so we did see nice EV growth in 2025, and we'll continue to see nice EV growth in 2026. It'll vary by quarter. But overall, the full year is about flat and will be slightly up.
Operator: Your next question comes from the line of Matthew DeYoe with Bank of America. Please go ahead.
Matthew DeYoe: Yeah. Morning, everyone. So clearly, the portfolio is shaking out a lot. But, you know, as we settle here, is there any hope to establish annual pricing initiatives in any of the businesses that could be enough to actually drive, you know, structural pricing gains across consolidated DuPont, whether that's 50 bps or 100 bps? Do we have a framework there?
Lori Koch: We do. I mean, we've had, obviously, the past two years have been the unwind of the sizable price that we took through the inflationary environment coming out of COVID. But going forward, would expect to see structural price lift. As Antonella mentioned at the beginning, in 2026, our 3% organic is primarily volume, but underneath that, there is some price in some of the businesses. We continue to expect to have to give back a little bit on the shelter side primarily. Is that sizable price raise that we drove in the 2022, 2023 time frame starts to unwind. But, yes, there is an opportunity to drive structural price in most of the businesses in our portfolio.
Matthew DeYoe: Thanks, Ed. And have you commented on something like Tyvek with the new advanced garments? Right? How much margin uplift would something like that give versus a legacy product? And I guess maybe I don't know if you want to comment specifically on that, but it's a different one maybe. Like, what is the average margin uplift? If you were to look at the vitality index, and you're thinking about replacement, is this, you know, through the index of 30 basis points or 100 basis points or is it flat? You know, what's the uplift look like?
Lori Koch: As we think about last year? Rather not comment on the margin lift at kind of the product line level. But overall, in the vitality index, in the 30%, we have about 145 basis points of margin lift from those products that are introduced in the past five years.
Matthew DeYoe: That's great. Thank you.
Operator: Your next question comes from the line of Christopher Parkinson with Wolfe Research. Please go ahead.
Christopher Parkinson: Great. Thanks so much for taking my question. We just take a step back and look at your healthcare portfolio? I know this is a focus of your CMD. But, Lori, what are you the most enthusiastic about as you go through '26 and perhaps even the longer-term growth algo? Is it on the biopharma side? Is it pharma solutions, med device? Like, if you could just comment on your enthusiasm in terms of your product portfolio, that would be particularly helpful, and then I'll have a follow-up.
Lori Koch: Yeah. It's really across all three. So, you know, both med packaging, med device, and bio all are nicely contributing to the kind of mid to high single-digit range in 2026. They all participate nicely in the higher-end aspects of the med device universe. So if you think about the majority of our applications, they're more in the cardiovascular space, which has an overall higher growth rate with respect to overall surgical procedures. So all three of them are gonna contribute nicely. We'll continue to differentially invest in those businesses to ensure that we can continue to grow.
Christopher Parkinson: Got it. And just a similar question for the Water business, now that all the dust has settled post the split. When you take a look at your water portfolio filtration, particularly across, like, NFRO, US, you know, is there it's clearly a great business, but do you feel as though you're missing any scale? Do you feel as though there's an easier portfolio? Obviously, you've added other things. Like, ion exchange over the years. Like, what else do you think you need to do, if anything, quite frankly, to further garner investor appreciation for that specific business?
Lori Koch: Yeah. But I think from a technology perspective, we've the leading technology across all the main components within water filtration. So leading in RO, leading in ion exchange, leading in US and nanofiltration. So we're nicely positioned there. We've mentioned the desire to start to build around water. So potentially going into spaces beyond filtration just given filtration would be difficult from a regulatory perspective for us given that we've got the leading position. So we continue to scout and look for opportunities to expand in the water space. Obviously, we'll be highly in tune to the valuations there. They can be quite pricey. We've seen a few assets with some of our competitors trade in the last few quarters that had a high valuation that would make it difficult for us. But we'll continue to see. We recently added just to continue to shore up our supply chain in the water space and asset in China. RO has huge growth in China. We didn't have an established footprint. We bought an asset outside of Shanghai. They gave us established membrane capacity in the region for us to continue to be competitive and local to our customers there.
Christopher Parkinson: Helpful, Lori. Thank you so much.
Lori Koch: You're welcome.
Operator: Your next question comes from the line of Vincent Andrews with Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you very much. I wanted to ask on healthcare. You called out in the deck that surgical procedures you're expecting to be up mid-single digits this year. Just give us a sense, is that sort of the normal growth rate? And is that favorable or about the same versus 2025? And then is your portfolio sort of well represented across that entire cohort? Or how should we think about it?
Lori Koch: Yeah. I would say it's a similar growth rate to what we saw in '25 minus the destock that happened in the first quarter that kind of drove up the overall healthcare growth for the year. So we're nicely positioned. As I mentioned, the areas that are driving kind of above the average surgical procedure rate, so if you say general surgeries, it's about 4%. Where we play, we expect that overall average to be more market-weighted to about 5%. So we're nicely positioned on both the healthcare side with the Tyvek packaging as well as on the Spectrum and Donatelle side on the device. Our single largest end market there is also within the cardiovascular and vascular space.
Vincent Andrews: Okay. And then just to follow-up on the balance sheet and capital allocation. You ended the year with, I think, $715 million in cash. You've got the $1 billion coming in. Earlier, you spoke to, well, we've kind of spent some of that $1 billion already with the $500 million ASR. So can you just refresh us on sort of what the minimum level of cash is that you want to carry? And then as you move forward through the year, and generate more cash, obviously, you're expecting another very strong year of cash conversion. Understanding sort of the dual track of pursuing M&A as well as share repurchases. We think about that sort of remaining proceeds from the divestiture to be sort of earmarked for M&A, but the sort of free cash flow generation from this year to sort of be ratably allocated to CapEx, to dividends, and to repurchases? Or is that not the right way to think about it?
Lori Koch: Yes. So let me start with your first question. So typically, on the balance sheet, we would carry around $1 billion in cash. We were a little bit below that at the end of the year given the cash that we spent on the ASR of $500 million. So as you mentioned, we will have, you know, a nice cash flow generation year in 2026. We do expect our free cash flow conversion in '26 to be greater than 90%. In addition to that, we do have the proceeds that are coming in the door related to the Aramis transaction. As Lori kind of mentioned earlier, I would say, you know, in terms of capital allocation, we view that in the eyes of a shareholder in terms of what creates the most amount of value. So I wouldn't say there's a specific amount earmarked towards an M&A deal or a specific amount earmarked towards share repurchases. We'll continue to look at both. We do have a pipeline of some M&A that we are looking at. You know, ultimately, you'll see if they come to fruition or not, but clearly, we will continue to deploy capital in the best interest of our shareholders as we move forward.
Vincent Andrews: Thank you very much.
Operator: Your next question comes from the line of Patrick Cunningham with Citi. Please go ahead.
Rachel Li: Hi. This is Rachel Li on for Patrick. So I think in an earlier response, you mentioned all regions should be up organic sales-wise. It's year and in one Q. So with recent PMIs trending more favorably, can you just provide more color on that response and maybe what you're seeing in terms of organic sales growth versus GDP?
Lori Koch: You kind of dropped off at the end, I couldn't hear which quarter you were referencing. But to the earlier comment, we do expect to see organic growth across all regions, both in the first quarter and in the full year. The improvement, kind of the first quarter being at 2% organic and the full year being at 3%, most of that improvement is going to be in North America just based on the improvement that we expect to see on the shelter side. So with shelter starting, you know, kind of slightly negative and then trending to even on the full year, you'll see that lift given the majority of the end markets in shelter are North America.
Rachel Li: Got it. Thank you. And can I just ask what sort of level of visibility you have for order books across the healthcare portfolio in general?
Lori Koch: Yeah. I'll answer the question broadly for the company, because it's a bit about we don't have a long lead time. It that way. So we start each month with about 80% of the orders on the books, and we start each quarter with about 50% of the orders on the books, and then we build from there. Shelter is definitely the shortest cycle. On the longest cycle, I would say, would be our aerospace businesses and our water business. Would be on the longer end, and everyone else would kind of fall in between.
Rachel Li: Great. Thank you so much for the color.
Operator: Your next question comes from the line of Michael Sison with Wells Fargo. Please go ahead.
Michael Sison: Hey, good morning. Nice quarter in Outlook. Just a quick one on US construction. Your outlook is flat. Any differences between nonres, res, and repair and model? In that Outlook?
Lori Koch: Yes. So as we look into 2026, our expectations would be that nonres would be up in the low single-digit range as well as repair remodel, and that would be off by a low to mid-single-digit decline on the resi side of the business.
Michael Sison: Got it. And then quick follow-up. You know, your outlook and your results, particularly the organic growth continues to, you know, look a lot better than the chemical folks. Are you still looking to, you know, is it still possible to change your industry designation? And how does that work given, you know, I think your results have been much more steady than my group.
Lori Koch: Yeah. So when you take a look clearly at the portfolio, our portfolio is not a chemical company portfolio. And to your point, when you look at our performance, our performance is not mirroring that of a specialty chemical company either. So I would tell you we continue to make some progress. In terms of the GICS classification. But what I would tell you is our first priority is just to continue to execute, but we will continue to move forward in terms of trying to get the GICS code changed to more appropriately reflect the portfolio that we have today.
Michael Sison: Thank you.
Operator: Our last question comes from the line of Arun Viswanathan with RBC Capital Markets. Please go ahead.
Arun Viswanathan: Great. Thanks for taking my question. I just wanted to, I guess, clarify on both healthcare and water. So did you see any destocking there? We did see, you know, maybe one of your competitors within healthcare packaging, reference some of that. And then similarly on water, you know, maybe some of the downstream players are also, you know, speaking about that in different regions. So I guess you're not seeing that given your robust outlook for healthcare. Is that correct?
Lori Koch: Correct. Yeah. The destock was behind us in 2025, so we've continued to see normalized inventory levels across both those businesses.
Arun Viswanathan: Just given that being the case, sorry if I missed this, did you also mention maybe M&A across both of those businesses, if there are opportunities and where you are kind of in that trajectory?
Lori Koch: Yeah. Sure. No. We continue to scout opportunities in both spaces. I would say that pipeline is more robust on the healthcare side just given the fragmentation that exists as well as evaluations are a little lower in that area. So we continue to look hard at both. We've been busy looking on the med device side similar to the acquisitions that we made with Spectrum and Donatelle as we continue to build out a total suite of offerings to our customers. Really building our relationships with them and then viewing us as a solutions partner and an application development partner. But we continue to look.
Arun Viswanathan: Thanks a lot.
Operator: Ladies and gentlemen, I will now turn the conference back over to Ann Giancristoforo for closing comments.
Ann Giancristoforo: Great. Thank you, everyone, for joining our call. For your reference, a copy of our transcript will be posted on DuPont de Nemours, Inc.'s investor website. This concludes today's call. Ladies and gentlemen, thank you for your participation, and you may now disconnect.